Operator: Greetings, and welcome to the Clean Harbors, Inc. Fourth Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Michael R. McDonald, General Counsel for Clean Harbors, Inc. Mr. McDonald, you may begin.
Michael R. McDonald: Thank you, Christine, and good morning, everyone. With me on today's call are our Co-Chief Executive Officers, Eric W. Gerstenberg and Michael L. Battles, our EVP and Chief Financial Officer, Eric J. Dugas, and our SVP of Investor Relations, Jim Buckley. Slides for today's call are posted on our Investor Relations website and we invite you to follow along. Matters we are discussing today that are not historical facts are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Participants are cautioned not to place undue reliance on these statements, which reflect management's opinions only as of today, 02/18/2026. Information on potential factors and risks that could affect our results is included in our SEC filings. The company undertakes no obligation to revise or publicly release the results of any revision to the statements made today other than through filings made concerning this reporting period. Today's discussion includes references to non-GAAP measures. Clean Harbors, Inc. believes that such information provides an additional measurement and consistent historical comparison of its performance. Reconciliations of these measures to the most directly comparable GAAP measures are available in today's news release on our Investor Relations website and in the appendix of today's presentation. I will now turn the call over to Eric W. Gerstenberg.
Eric W. Gerstenberg: Thanks, Michael. Good morning, everyone, and thank you for joining us. Starting off with safety. We concluded a record year of safety in 2025 by delivering a total recordable incident rate of 0.49, which is well below the prior year and industry-leading. Safety underpins everything we do at Clean Harbors, Inc., and I have outlined the many benefits on prior calls, such as reputation, teamwork, employee retention, and cost savings. Most importantly, though, it is about sending our team home safe to their families at the end of each day. To everyone on the team listening today, we appreciate all that you did this year and every day to keep yourself and your colleagues safe. Turning to a summary of our results on slide three. We are pleased to report another outstanding year. In addition to a strong safety record, we also delivered record levels of revenue, adjusted EBITDA, adjusted free cash flow, and saw our adjusted EBITDA margin increase by 40 basis points. We capped off 2025 with a strong Q4, as we exceeded the guidance we provided in late October. Our performance was driven by profitable growth in both of our operating segments, with our Environmental Services segment delivering its fifteenth straight quarter of year-over-year growth in adjusted EBITDA margin. This run of nearly four years of consistent margin expansion against a challenging industrial backdrop reflects the successful delivery of our essential services to customers and execution of our growth strategy, along with disciplined pricing, cost management, workforce productivity, and network efficiency. Turning back to our annual results. In 2025, we topped $6,000,000,000 in revenues for the first time in our history while increasing our adjusted EBITDA by 5%. Our performance was led by our 6% while increasing its segment adjusted EBITDA margin by 60 basis points. Our 2025 results also included a record $509,000,000 in annual adjusted free cash flow. We also achieved several notable operational milestones this past year, including the successful first-year ramp up of our new Kimball incinerator, creation of our Phoenix hub, handling nearly 22,000 emergency response events, the issuance of our PFAS incineration study with the EPA, the reduction of voluntary turnover by 150 basis points to a five-year low. Turning to the segments, beginning with ES on slide four. We grew Q4 revenue by 6%, our largest quarterly increase of the year, based on the strength in demand for disposal and recycling services, project volumes, growth in PFAS services, and emergency response work. Technical Services rose 8%, and Safety-Kleen Environmental revenue grew 7%, driven by pricing and higher volumes within its core offerings, particularly vacuum services. Incineration utilization, excluding the new Kimball incinerator, was 87%, consistent with our expectations. At the same time, landfill volumes increased more than 50% in Q4, largely due to project volumes. For the full year, incineration utilization, excluding Kimball, was 89% versus 88% in 2024. Field Services revenue grew 13% in the quarter, aided by large-scale emergency response projects that generated approximately $30,000,000 in revenue. Overall, despite some stubborn near-term market headwinds, our ES segment delivered strong Q4 results, which underscores the resiliency of our business model, our broad range of service offerings, and the diverse industry verticals we serve. Adjusted EBITDA for the segment was up 8% in the quarter, with Q4 margin up 50 basis points based on disciplined pricing, higher overall volumes, mix of work, and workforce management initiatives. Overall, Q4 was another impressive quarter for our largest operating segment. Turning to slide five. I wanted to take a moment to highlight the considerable momentum we are seeing around PFAS as we head into 2026. The PFAS incineration study we completed in partnership with the EPA, as well as the Department of War, was released in September and is generating inbound discussions with customers and key stakeholders. In November, I had the honor of speaking at a hearing before the U.S. Senate Committee on Environment and Public Works about PFAS, to raise awareness of our capabilities and the need for establishing regulatory thresholds. In December, we announced a three-year $110,000,000 contract related to our ongoing PFAS water filtration work at the Pearl Harbor base that demonstrates the effectiveness of our carbon filtration system that has been in use there since 2022. This was followed by the finalization of the National Defense Authorization Act, which included language requiring the Pentagon to return to Congress within 180 days with recommendations for how the military will address PFAS removal and destruction in more than 700 U.S. military installations. In addition, the EPA is expected to develop and publish a regulatory framework for impacted soil and solids, update their water guidelines, and finalize new manufacturing rules. At the same time, state governments are moving forward to create their own rules and are evaluating take-back programs. All of these developments represent sizable growth opportunities for Clean Harbors, Inc. Even without new rules in place, we are seeing each element of our total PFAS solution grow and our pipeline expand. The guidance that Eric will share with you only assumes a 20% growth rate for our PFAS business in 2026, which is consistent with the past several years. With that, let me turn things over to Michael L. Battles to discuss SKSS and capital allocation.
Michael L. Battles: Thanks, Eric. Good morning, everyone. Turning to SKSS on slide six. The base oil pricing environment continued to weaken in Q4 and, as expected, segment revenue was down slightly. In terms of profitability, segment adjusted EBITDA was $30,000,000, a 22% increase from 2024. For the full year, adjusted EBITDA for this segment was $137,000,000. Despite difficult macro conditions, the team continued to execute well on our oil collection services and related pricing, which drove the increase in year-over-year Q4 adjusted EBITDA, a 310 basis point improvement in margins. We increased our charge for oil pricing, or CFO, in Q4, raising rates roughly 50% above our Q3 average. Managing the pricing associated with these oil collection services and substantially lowering our overall waste oil collection costs remain the primary levers to offset continued decline in base oil pricing. Even with higher CFO, we collected 56,000,000 gallons of waste oil to feed our re-refining network and keep our plants running efficiently. In addition, we once again delivered incremental growth in our direct lubricant gallons sold, which further supported our margin improvement. During the quarter, we also continued to grow our Group III production as those gallons carry a premium to our conventional Group II volumes. For SKSS in 2026, we will continue to proactively manage our re-refining spread through providing consistent, reliable, and high-quality collection services at appropriate CFO rates supported by market conditions. We will also prioritize expanding direct blended sales, increasing Group III production, pursuing partnership opportunities. Turning to capital allocation on slide seven. We continue to seek opportunity to generate strong returns for shareholders through all elements of our capital allocation framework. We remain well positioned to do so, supported by the strength of our balance sheet and a robust cash generation profile. On the M&A front, we announced today the signing of a purchase and sale agreement to acquire environmental businesses from Depot Connect International for approximately $130,000,000. These businesses are a carve-out to DCI and will be integrated into our facilities network within Technical Services as well as our Field Services business. This acquisition is expected to generate annual revenue of approximately $40,000,000 with $11,000,000 of annual adjusted EBITDA, or roughly a 12-times multiple. We see a great strategic fit given their five locations in Ohio, Louisiana, and Texas and their fleet of trucks and other equipment. DCI currently offers waste handling, tank cleaning, and railcar cleaning to its customers. Additionally, two of their facilities have wastewater treatment and solidification capabilities. We expect the acquisition to close in the first half of the year, subject to customary closing conditions. We expect to remain active on the acquisition front in 2026, and we plan to continue to make strategic internal investments to accelerate our growth. Today, we announced a $50,000,000 targeted expansion of our vacuum truck fleet aimed at capitalizing on growth opportunities we are seeing through our SK Brand business. Due to the limited availability of these specialized assets, this fleet expansion will occur over the course of 2026 and 2027. This fleet growth program, which we anticipate will generate an incremental adjusted EBITDA of $12,000,000 to $14,000,000 in 2028 when fully ramped, is another element within the $500,000,000 of internal investments we mentioned in our Q3 call. We anticipate that each of these projects will generate attractive returns for our shareholders. We also continue to view share repurchases as an attractive way to generate strong shareholder returns, as evidenced by our $133,000,000 of repurchases executed in Q4. We bought back a record number of shares this year, and we recently received Board approval to expand our existing authorization by $350,000,000, providing a total of $600,000,000 of remaining capacity and giving management significant flexibility to return capital to shareholders going forward. On the debt side, we refinanced a portion of our debt in 2025 on favorable terms with longer maturity. We are pleased to be entering 2026 having taken concrete actions across all elements of our capital allocation strategy. Looking ahead, we enter 2026 with momentum in our large core hazardous collection businesses. We expect our incinerator network to run strong in 2026 and waste projects in PFAS to continue to feed our disposal and recycling network. We expect to deliver growth in revenue and adjusted EBITDA that will culminate in enhanced company margins again this year. Our positive outlook is grounded on modest economic assumptions with additional upside potential. Overall, we expect another strong year of financial performance in 2026. I will now turn it over to our CFO, Eric J. Dugas.
Eric J. Dugas: Thank you, Mike, and good morning, everyone. Turning to our Q4 and full year results here on slide nine, our quarterly performance came in ahead of expectations we outlined in October, driven primarily by continued strong growth across both Technical Services and Field Services. It was especially encouraging to see the underlying strength in our core disposal and recycling volumes as we closed out the year and in light of some of the challenges we had experienced in some of our key verticals in 2025. Total Q4 revenue increased 5% to $1,500,000,000. As Eric highlighted, we surpassed $6,000,000,000 in annual revenue for the first time in the company's history and just three years after surpassing the $5,000,000,000 mark in 2022. Q4 adjusted EBITDA increased 8% to $279,000,000 and full year adjusted EBITDA reached approximately $1,170,000,000. Our Q4 revenue and adjusted EBITDA growth rates, the highest we have seen in fiscal 2025, capped off another year in which we demonstrated our ability to continue to grow the business while expanding margins, and this provides us with positive momentum heading into 2026. Our consolidated Q4 adjusted EBITDA margin was 18.6%, representing a 60 basis point improvement from the prior year period. This margin expansion reflected a combination of disciplined pricing initiatives, volume growth, effective cost control, and continued efforts to maximize efficiencies across our network and transportation fleet. For the full year, we improved consolidated adjusted EBITDA margin by 40 basis points, led by strong performance in our Environmental Services segment. SG&A expense as a percentage of revenue in Q4 increased slightly from a year ago to 12.9%, primarily reflecting third-party transaction-related costs and stock-based compensation. For the full year, however, we improved our SG&A as a percentage of revenue to 12.5%, as we continue to tightly manage overhead and limit growth in non-billable headcount. Fourth quarter income from operations was $158,400,000, up 16% from the prior year. Net income in Q4 was up year over year as we delivered EPS of $1.62. For the full year, EPS was $7.28 a share. Turning to the balance sheet on slide 10. We ended the year with cash and short-term marketable securities of more than $950,000,000. Throughout 2025, we maintained a sharp focus on working capital management and cash flow generation, which drove record free cash flow in both Q4 and the full year. Our receivables balances declined by approximately $80,000,000 from September, a testament to the broader team's efforts, as collections meaningfully exceeded our expectations in the quarter. We closed the year with a net debt to EBITDA ratio of approximately 1.8 times, which is our lowest leverage in nearly 15 years. Our debt currently carries a blended interest rate of 5.2%. Given our cash balances and low leverage, we have ample flexibility to execute on our capital allocation strategies. Turning to cash flows on slide 11. Our Q4 cash flow performance was outstanding. Operating cash flow in Q4 grew 17% to a record $355,000,000, and we also delivered a Q4 record adjusted free cash flow of $261,000,000. For the full year, adjusted free cash flow was also a record, reaching $509,000,000, coming in sharply above our guidance, driven in large part by the outstanding collection efforts I just mentioned along with lower cash taxes paid. The $509,000,000 we generated represents nearly 44% of our 2025 adjusted EBITDA and underscores the highly cash generative nature of our business. CapEx, net of disposals, was $115,000,000 in Q4, up from the prior year reflecting our major growth investments. For the full year, our net CapEx spend was down $20,000,000, as 2024 included the completion of Kimball spending and our Baltimore Hub project. For 2026, excluding an expected $85,000,000 of spend on the SDA unit and $25,000,000 related to our strategic fleet investment discussed earlier, we expect net CapEx to be in the range of $340,000,000 to $400,000,000, with a midpoint of $370,000,000. As it relates to share repurchases, we continued to return value to shareholders in Q4 by repurchasing nearly 600,000 shares for $133,000,000. For the full year, as Mike mentioned, we returned a record $250,000,000 to shareholders through the repurchase of more than 1,100,000 shares. With the recent expansion of our authorization, and based on our long-term cash generation and returns profile, we continue to view our shares as attractively valued. Turning to our guidance on slide 12. Based on current market conditions and business performance, we are guiding a 2026 adjusted EBITDA range of $1,200,000,000 to $1,260,000,000, with a midpoint of $1,230,000,000. At the midpoint, the outlook implies growth of approximately 5% versus fiscal year 2025. Looking at our annual guidance from a quarterly perspective, we expect first quarter adjusted EBITDA to grow 4% to 7% year over year in our Environmental Services segment and approximately 1% to 3% on a consolidated basis. In terms of the 2026 capital spend we announced today, we are assuming only a few million dollars of annual adjusted EBITDA contribution from the fleet growth expansion in 2026, as those purchases will be phased in over the course of two years. With respect to the DCI business acquisition, our guidance currently incorporates an estimated $5,000,000 to $6,000,000 of annual adjusted EBITDA, reflecting the uncertainty around the exact timing of the close. Looking at how our annual guidance translates into our reporting segments, at the midpoint of our guidance range, we expect our 2026 adjusted EBITDA in Environmental Services to grow just over 5% for the year, supported by favorable demand trends across our key service pillars as well as continued growth in PFAS and remediation projects. This initial 2026 guidance midpoint assumes that our SKSS segment delivers results similar to 2025, and today we are guiding to approximately $135,000,000 of adjusted EBITDA. Follow me at we have made great strides on our collection costs in 2025, have yet to see any improvement in the base oil market. Within Corporate, at the midpoint of our guidance, we expect negative adjusted EBITDA to increase by approximately 2% to 4% compared to 2025. This modest increase is primarily driven by costs to support business growth, higher wages and benefits, and broad-based insurance cost increases. While we continue to experience some inflationary pressure across Corporate cost categories, we have numerous cost savings and productivity initiatives underway that are expected to offset a meaningful portion of these headwinds. For 2026, we expect adjusted free cash flow in the range of $480,000,000 to $540,000,000, with a midpoint of $510,000,000. That level of generation represents a free cash flow conversion of approximately 41% of our expected adjusted EBITDA for the year. In summary, our Environmental Services segment delivered an exceptional performance in 2025, capped off by a strong Q4. We are well positioned to continue growing the ES business organically and further enhancing its earnings potential. Technical Services, SK Environmental, and our base Field Services business are all expected to generate healthy growth in 2026, with Industrial Services generating modest. In addition, the Environmental Services segment will benefit from the continued ramp up of Kimball Incinerator as it takes on higher volumes and processes more complex waste streams. Overall, we remain encouraged by the company's growth trajectory. We believe our strategic initiatives, combined with current market conditions, should support the profitable growth embedded in our 2026 guidance. We entered the new year as a stronger company than we were a year ago, safer, more profitable, and generating more cash. And we believe that positions us well for 2026 and beyond. With that, Christine, please open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before the star keys. One moment, please, while we poll for questions.
Michael L. Battles: Thank you.
Operator: Our first question comes from the line of Patrick Tyler Brown with Raymond James. Please proceed with your question.
Patrick Tyler Brown: Hey, good morning, guys.
Michael L. Battles: Good morning, Patrick.
Patrick Tyler Brown: Hey, Eric G. Curious if you could maybe talk about and update us on how the conversations are going on the captive side. I know you talked about that in some prior calls, but do you think there will be any closure developments in 2026 and 2027? And just any broad thoughts on incineration pricing trends into 2026?
Michael L. Battles: Sure, Patrick. Thanks. Yeah. The captive market continues to be active.
Patrick Tyler Brown: We are pursuing opportunities with a couple of key customers across the board, and we think with some changes that they have on their cost structure as well as utilization that there is a potential clear path here for additional captive closures. As you know, we continue to monitor and work very closely with all the captives across the U.S. and Canada. Today, there continue to be about 40 different sites that have captive incinerators that are also generating waste streams into our network. So we have some very solid relationships and, again, do anticipate that there will be some captives that come offline in the future. When? Still too early to tell, but discussions are active. That being said, we also have a lot of opportunity to continue to drive financial performance around incineration pricing across the board in our network. We expect to continue to outpace inflation and drive price improvement into the mid to upper single digits across our network, incineration being a leading indicator there, and we still will continue to push those levers that we have done in the past. So, very active network overall, Patrick.
Michael L. Battles: Okay. Great. Great update.
Patrick Tyler Brown: I was a bit curious on the commentary around Industrial Services. So, obviously, we got a better ISM print, so maybe we are going to see some improvements in the industrial complex at some point. But what does give you the confidence there? Is that based on some hard planned turnaround work? And kind of, again, Eric Dugas, what is in the expectation there for 2026?
Michael L. Battles: In terms of 2026, Patrick, in the guide, as I said in my comments, fairly modest expectations. I think we have seen some more positive, maybe some more positive leading economic indicators around ISM and PMI and things of that nature, but the guide really kind of has current market conditions built into it at this point.
Patrick Tyler Brown: And I would add on to that, Patrick, that when we look at our Industrial business, Q4, we began to see some nice momentum in some of our specialty lines of business within Industrial Services. Our base business has been consistent. As we enter into 2026, we are working with over 400 customers, assessing their turnaround needs for the year. We are seeing some positive indicators, I would say, as we touch base with every single one of them with face-to-face calls. And we are getting ahead of their opportunities. And there appear to be some indications of momentum here. But we are still, when we look at the overall guidance for 2026, as Eric said, we are pretty conservative in our outlook there.
Michael L. Battles: Okay. See those coming up. Do see time that it has kind of turned, we think it might have turned the corner. You think about the growth, the revenue growth of the business, you look at kind of Q1, Q2, Q3 into Q4 in IS. If you do the math, it is definitely leveling off. We do see some positive momentum, as Eric G. said, into 2026. Not today. Okay. Okay. Great. And then my last one here real quick, Mike, can you guys talk a little bit more about the vac truck and the field investments? And this is really a broader question about all the internal growth investments that you guys have done and you do see. But is this move really more because the acquisitions have gotten so expensive, and you have got a great market position, you have got buying power, etcetera? That the reality is that building may simply offer better economics than buying through M&A at this point.
Michael L. Battles: Yeah. Patrick, I will start. This is Eric G. So when we look at our vac services, our three prominent business units that use vac services, we have our Safety-Kleen Environmental vac, our Field Service vac, and our Industrial vac. And those opportunities, those collections of vac waters drive organic waters, contaminated waters, and solids, sludges into our great facility network. And that business across the board has been growing substantially in the 8%, 10%, 14% range. So we have been adding more trucks. We have kind of been keeping up with that pace. We have rented some trucks to fuel that organic growth, but really, what we want to do is continue that growth path of greater than 10%, build out more trucks internally, acquire more trucks, eliminate the subcontracting, and just keep pace with those growth rates across all the business units. So it has really been a win-win. And as I said, it is fueling a lot of great waters and sludges and solids into our network.
Michael L. Battles: I would add to you. To answer your question around, hey, is this just a pivot? Is this kind of a better answer? The answer is that our balance sheet allows us to do all these things. Our cash flow generation has allowed us to do M&A and do capital addition. And we signed the P&S DCI, and there are others out there that we are looking at. So I feel like we can do it all given our cash flow generation. It is really just based on ROI and what is going on in the market. Right. Okay. Alright. Thank you. Appreciate the time.
Operator: Our next question comes from the line of Adam Bubes with Goldman Sachs. Please proceed with your question.
Michael L. Battles: Hey, good morning. Just picking up on the M&A point, beyond the DCI acquisition, can you just update us on the M&A pipeline in terms of types of opportunities you are looking at and range of outcomes for acquisitions in 2026? Yes. This is Mike, and I will start. We do have a lot of lines in line. And, frankly, we did all through 2025 as well. We were not as successful, but we do see a lot of opportunities there, mostly in the Environmental Services business. Mostly, similar to what we think of DCI that has permanent facilities that have some, you know, we see those types of opportunities coming to market. And we have been very active. Now we have not been as successful in 2025, but we see a lot of good opportunity. And primarily in Environmental Services, but I would say.
Noah Duke Kaye: And then I think the 1Q guide implies year-over-year declines in Safety-Kleen EBITDA and then maybe a recovery in the balance of the year finishing flattish. So can you just talk about the drivers of that improvement in the balance of the year? Is that coming from incremental charge for oil actions? Are there any assumptions for base oil prices improving in the guide? Adam, it is Eric. I will take that one. And you are absolutely correct. In the way we see Q1 right now in SKSS is a little bit down year on year. It is almost all driven through kind of the base oil pricing challenges that we see here at the beginning of the year. Obviously, as we did in 2025, we will continue to counteract that with providing great oil collection services at the right price there that the market demands. And so as we move throughout the year, things do get a little bit better. Some of that oil collection pricing modification kicks in. But Q1 is kind of the year-on-year low watermark, if you will.
Michael L. Battles: And Adam, we do have base oil pricing going down slightly in the guide over the course of the year. We do have that, not at the same level that happened in 2025, but we do assume a slight decline in base oil pricing. Great. Thanks so much.
Operator: Our next question comes from the line of Noah Duke Kaye with Oppenheimer. Please proceed with your question.
Noah Duke Kaye: Hey, good morning. Thanks for taking the questions. There was a lot to like, I think, around the capital. I want to get to that in a minute. But just on the core Field Services, you called out the $30,000,000 of emergency response work. It sounds like that basically drove the revenue growth year over year in the quarter. Can you maybe quantify the level of ER work you did total or anything outsized you would call out for 2025? And what you have assumed for ER work for 2026 in the guide. Yes. Noah, I will start there. We had a nice fourth quarter with $30,000,000 in large-scale emergency responses. If you look at the Field Services business over the course of the year, and every year prior to it, we have ups and downs in large emergency response, but throughout the course of the year, drive some large events. Did over 22,000 emergency response events last year. You can really consider that a good baseline business. That continues in that core base FS for utility customers, manufacturing, rail, all those types of things. And then we also see good incremental events that will continue to happen. When in the quarter they will or will not, it is to be determined. But that has been a core part of our Field Services business for the past twenty years. Those things happen. So we have that factored into growth of Field Service year over year of being in that mid-single digits as a baseline.
Michael L. Battles: I would say, Noah, that when you look at the 22,000 events that Eric mentioned, I mean, that is up by 5% from last year. So we still see a fair amount of events happening in the country, in North America. We have been there and winning our fair share. And when these large events happen, the company is built for that. It was built on emergency response. That is part of the business model. And because it is such a big business now with the acquisition of HEPACO, it has been a great win.
Eric W. Gerstenberg: Noah, just one last point on that. I think when you think about our network, what we build with Field Services branches, last year, we added an additional 18 Field Service branches to our network. And as you know, our strategy is to make sure that we have an operating branch of every business unit in all the key geographies throughout North America. And that presence, when we think about Field Service, that presence allows us to be the first call when emergencies happen and leverage through the rest of the network, people and equipment, to be able to grow with those emergency response events. So it is a core part of what we do. We do it really well. Our sales team, our Field Services operations team, they are out there pounding the streets to make sure that for every customer who needs a facility response plan with an emergency response provider, that we are the number one call when things go wrong, and we have done a good job of that. We will continue to exercise that presence as we grow here throughout 2026.
Michael L. Battles: Very helpful. I think just on the 1Q guide, just how much of a headwind will weather be? I mean, last year, it was a $10,000,000 to $12,000,000 EBITDA headwind. We are obviously, between Fern and some other events, have had a rough start to the year. Some other players in the space have talked about it. So just where do you kind of think that ends up for Q1? Noah, it is Eric Dugas here. I think when we think about weather year on year, I mean, we have heard from some other folks that have come out, and we are seeing the same thing. Weather impacts us in these winter months, January, early February here, seemingly kind of every year. And so when we think about our guide here in Q1, I would say weather impact is flattish. We talked about SKSS assumptions in Q1. That is really the lighter side of our guide here in Q1. Look at the ES business, we are still growing 5% to 7% year on year. A lot of the great things that we did throughout 2025 and in Q4 that we just talked about kind of continue into Q1. Yes, we have seen with the nasty weather we have had, we have had some delays, but no plant upsets. No plant upsets, which I think is an important point. Yep. Yep.
Noah Duke Kaye: Very good. Alright. You know what? I will turn it back over. Take the rest offline. Thank you.
Michael L. Battles: Thanks. Hey. No. Hey, Noah.
Operator: Our next question comes from the line of David John Manthey with Baird. Please proceed with your question.
Michael L. Battles: My first question, a clarification here. I missed what you said about corporate expense for 2026. What was that growth rate? Two to four, Dave. Two.
David John Manthey: Two to four. Okay. So looking at 2025 as a whole, if Clean Harbors, Inc. was able to grow EBITDA by roughly 5% in 2025, and that is in the face of, you know, Field and Industrial being down and a $10,000,000 headwind from SKSS EBITDA, and then in 2026, you are saying that each of those things are going flat or positive, and then you have got Kimball ramping and all these other growth initiatives. I am not being critical here. I am just asking, like, when you look at all of those things, I am wondering what which one or what segment are you seeing that is going to be a drag to 2026 EBITDA growth? Because it feels like everything in 2026 is either the same or better than it was in 2025, and you are guiding for the same level of EBITDA growth. If you could help me understand the bridge there.
Michael L. Battles: Yes, Dave, this is Mike. I will start. I think that our goal is to make sure that we provide a balanced view as we go into the year. I mean, there is a lot of, I think to your point, there is a lot of positive momentum. We certainly see some of the Solid Waste guys talking about that momentum, and we see it as well. You know, January, as Eric said, was a rough month from a weather-wise standpoint. We want to see it. Want to see it. And my hope is we come back in a couple months and talk about a great Q1 and a great Q2 and Q3 as well. But we want to be thoughtful as we set expectations for the year. I think that a 5% growth, as Eric laid out in his script, is a reasonable growth, is a good starting point. And certainly, in the face of, you know, what we see, you look at industrial production, we had a great January, but once is not a pattern. And so let us have a few quarters, a few months of this type of growth before we start claiming victories here. So that is kind of our view, and we want to be thoughtful about this. We are hopeful that we come back here in a couple of months and say how great the quarter was and how great Q2 and Q3 are going to be.
David John Manthey: Yeah. Got it. And on the first quarter, first quarter EBITDA as a percentage of full year has been about, I do not know, 20.6% for the last three years on average. And this year, you are sort of saying 19.5% based on the guidance midpoint. Did you quantify the weather? Is that the reason that we are down? It is only representing that smaller percentage of the overall?
Michael L. Battles: David, it is Eric. I think a couple of things. As I said before, I would think weather impacts kind of flattish year on year. A little bit of year-on-year decline in SKSS. And then just to go back to the beginning, your corporate question of 2% to 4% for the full year, Corporate is a little bit heavier in Q1 the way we have got it laid out. There is some natural inflation, but also a little bit of incentive comp timing. A little bit more incentive comp in our guide for Q1 this year versus last year. We had some backup just because of the performance Q1 last year. So that is probably the piece you are missing.
David John Manthey: But you know, the whole year, it calendarizes out pretty similarly.
Michael L. Battles: Yeah. It is more of a Q1 Corporate item, I think, Dave, when you look at it. And SKSS is, as you saw, going to be a little soft in Q1, and that is really driven by some CFO pricing we still had at year end still on the balance sheet that kind of ran into Q1. So Q1 was a bit of a rough quarter. So.
David John Manthey: Perfect. Thank you.
Operator: Our next question comes from the line of Brian Butler with Citi. Please proceed with your question.
Brian Butler: Good morning. Thanks for taking the question. Maybe just on Safety-Kleen, the charge for oil opportunity has been pretty compelling and successful. Just curious, you know, to characterize how much sort of room to run there is there. Do you maybe still feel Clean Harbors, Inc. is not getting proper value, or is it maybe mostly about just kind of compounding at these levels now?
Michael L. Battles: I think, Brian, I think that our ability to continue to charge for dirty motor oil has been a differentiator. And I believe that we have not really lost a lot of gallons in this process. So I feel like this has been a hugely successful endeavor and really has been able to offset kind of base oil pricing that we see. You know, I feel like we have kind of taken a good step forward and really made some real changes. And I feel like that is going to continue to pay off. We are not, as you saw from Eric Dugas' comments around the year for 2026, we are not assuming that that gets a lot better. But we are hopeful that if oil prices stabilize, even recover, that could be a huge winner for us.
Brian Butler: Got it. Got it. Thank you for that.
Brian Butler: And then just one follow-up is maybe just on the Group III oil production. Just, you know, again, from like a high level, if you can maybe frame that, sort of size the opportunity for Clean Harbors, Inc. Is there any material contribution to 2026? Yeah. That would be really helpful. Thanks. I will turn it over.
Eric J. Dugas: Yeah. Brian, Eric here. So when we look at our run rate of our Group III production, we are in the neighborhood of 4,000,000 to 6,000,000 gallons increasing year over year. And that differentiation between the Group II is at about a buck a gallon more. So it is meaningful. But what also is important here is that when we blend that oil, we also have an opportunity to really offset some of the Group II+ that we have been selling. So it will continue to ramp up year over year. The traction of the products and the blended products that we are making with our Group II/III has been excellent. And we are really excited about that continuing to have a meaningful contribution to EBITDA improvement within our SKSS business in the coming years.
Operator: Our next question comes from the line of Jerry Revich with Wells Fargo. Please proceed with your question.
James Joseph Schumm: Hi. This is Jake Goyman on for Jerry. Thank you for taking our question. The Technical Services segment saw good acceleration in the fourth quarter. Can you walk us through the key drivers of that acceleration, whether it was project activity, pricing, mix, volume? And how much of that momentum carries into the first quarter? Thank you.
Eric W. Gerstenberg: Yes, I will begin. Really was, as we said in the script, it was really a combination of multiple different things. When you look at it. Our TS business had really great volumes across the board. We saw about 8% increase in overall containerized waste volumes. In our Safety-Kleen Environmental business, strong waste collection along with vac services. We highlighted that. When we look at the Field Services business, lots of ERs, large and small, good strong base business. Then finally, our project business was very strong as well, drove some nice volumes into our landfills, into our incinerators. And the momentum in the project business around PFAS. So it was multiple different things that contributed to the success of ES. And that was great fourth quarter. It was a great year with our Environmental Services. We fully anticipate that momentum to continue here into Q1 and 2026 in all those areas that I just spoke about.
Michael L. Battles: And, Jake, the great thing about what Eric said is that this does not include any captive closures. It does not include, you know, no large ERs. We are not assuming that there is going to be a large bounce back in the chemical or the refining area, and we are not assuming a base oil recovery. I mean, so, you know, we have a lot of good opportunity there, though. So we feel like this growth that we are talking about this morning is a reasonable assumption, but, you know, those things do turn around, and I think that we will be in incredibly good shape in 2026 and beyond.
James Joseph Schumm: Fantastic. Thank you very much. Very helpful. And then just as a follow-up, I know you provided, I was just hoping you could speak on the moving pieces of the Environmental Services 5% growth guide for 2026 and any cadence on the quarters outside of the one that you already provided? Thank you.
Eric J. Dugas: Jake, I would say, just to point out a couple of the big drivers in that 2026 growth. And yes, we talked in our script, it is year two of the Kimball incinerator. So I talked about an incremental kind of $10,000,000 to $15,000,000 of EBITDA there across the network by continuing to ramp up that facility. PFAS opportunities and a growing pipeline there, 20% increase into 2026 is in our guide. And so those are probably two meaningfully discrete pieces. You know, continued Field Services growth in some of the new branches and newer agreements we are getting into with existing customers that Eric highlighted a moment ago. And then you really have all those great things that we continue to do in Technical Services and Safety-Kleen branch around growing volumes and pricing strategies and being diligent around those. And that is all wrapped with continuing to provide just great service to all our customers. So I would say those are the big drivers. And yes, in terms of, you know, calendarizing out of the quarters, I would say that, you know, it very much kind of calendarizes out, you know, kind of 5% growth roughly in each quarter year on year. So hopefully, that answers and clarifies your question. With the acquisition done in the back half of the year, that was going to.
Operator: Yes. Fantastic. Thank you very much. Our next question comes from the line of Lawrence Scott Solow with CJS Securities. Please proceed with your question.
Michael L. Battles: Great. Thank you. Good morning, guys. First, congrats on the cash flow on the quarter and really for the year. I can remember, I do not know, ten years ago when cash flow was a sore thumb, but now it is a real highlight. So I commend you for that.
Michael L. Battles: Thanks, Larry.
Eric J. Dugas: Thanks, Larry. Good to hear, man.
Lawrence Scott Solow: Yeah. Absolutely. Been around for too long. So I guess first question, Eric G., just on the PFAS, lot of good stuff. I like the picture on the slide too. It feels like, you know, operational and regulatory, the momentum is really stronger than it has ever been. Yeah. And it sounds like you can do about one fifty this year, plus or minus. But, you know, are we getting closer to an inflection point where, you know, I do not know where that inflection point takes us, but we could really see an acceleration in revenue growth over the next few years.
Michael L. Battles: Excuse me.
Eric W. Gerstenberg: Yeah. It is a great point, Larry. I think we do believe that we are getting closer. You know, having the opportunity to go down and talk to the Senate Committee on Public Works was a great opportunity for us to not only share what our total PFAS solutions are, but more so to talk to them about that there is capacity and infrastructure to handle PFAS remediation and cleanup, and that there are existing technologies and capacity to handle the growth and deal with this significant issue. I think the other key point too is that during those discussions, we laid out very clearly, based on our experience of managing cleanups that we have already been doing and the treatment that we have already been doing, we laid out what we thought the regulatory parameters should be. And we have gotten some great feedback on that. Those regulatory parameters, we have been communicating those to the EPA. But more so, we have been communicating those to our customers. And the way we got to the revenue that we are today is by saying to our customers, hey. To limit your risk, to manage it properly, these are some thresholds and parameters that we can help you employ with our total PFAS solutions. Make sure you do not have any long-term liability. So I think all that, put together, I really do think, and I think we all believe that the momentum of getting some really defined thresholds with the EPA is in sight. We are hopeful about that. We continue to drive that.
Lawrence Scott Solow: But we all c.
Eric W. Gerstenberg: Our customers are acting very disciplined today even without that in place.
Michael L. Battles: Alright. And I guess the question, Larry, too, is does not the three-year contract that you signed, does not that almost get you to that 20% growth by itself this year?
Lawrence Scott Solow: Kinda busting chops a little bit on that one, but is not that kind of fair, or is that all of that incremental, that one ten?
Michael L. Battles: Yeah. Keep in mind that we do some work there today.
Lawrence Scott Solow: Over three years?
Michael L. Battles: Larry, and so that one ten is the total. It is, you know, it is increasing, you know, $15,000,000 to $30,000,000, I think, in any given year over that three-year period from what we do today. So there is still room to run with none of that.
Lawrence Scott Solow: That is fair. And I guess my second question here, just on the margin improvement, again, also really nice. And we do not need to call it the streaks, but, you know, you may not be able to predict the continuing every single quarter, but up to 26% EBITDA margin. As you look out three to five years, could this continue to expand? I mean, could we be talking about a 30% EBITDA margin business? And now when we reach 2030.
Michael L. Battles: Yeah, Larry. We think 30% is certainly kind of in the future for us. And, you know, internally, that is the target, the reset target that maybe we have now. But it is 30% and beyond. Now what year we hit that? I mean, we are going to continue to strive to expand margins at a minimum of 30 to 50 basis points a year. That is what we said, and we have been able to kind of overachieve on that. So exactly what year we are going to be above 30%, I cannot tell you, but that is the internal goal. I guess just one thing that I would like to share relative to that is, you know, with our margins in Environmental Services here, you know, just about 26% for the year, we are exceeding those margins that we had assumed in our Vision 2027 a couple of years ago in fiscal 2027. So call it two years ahead. But certainly, you know, we see a lot of runway in margins. Continued growth in margins through volume, pricing initiatives, internalization of costs, greater use of technologies, all those things. Holding on to our people and reducing turnover. That has been a great thing for us the last couple of years. So we are going to keep doing those things, and we will see margins expand.
Eric W. Gerstenberg: Yeah. Larry, just to build on that, our aspirational goal is really to get to those 30% margins by 2030, 2032. And when you look at the past four or five years, everything that we have been driving, there is a clear path to get there. We have a number of opportunities that Eric just articulated. We are going to continue to get more efficient. We are going to continue to route our trucks well. We are going to continue to lower turnover. All those things and driving pricing ahead of inflation will drive our margins and expand as we build the platform of the business and leverage what we have with our unparalleled disposal network.
Michael L. Battles: Larry. The last thing I would say to that answer is that we have in every single manager's compensation EBITDA margin as part of their target. And I think that has really helped drive behavior. I think we can talk about what year we hit 30%. I do not think that is a, I believe that is a goal. That is just a stopping point. I am of the view that we can continue to expand margins even beyond that 30. I mean, you can pick a date when you want to hit that, but I think I am of the view that that is not a, that is not a goal, that is just a good way to measure ourselves.
Lawrence Scott Solow: Sure. No. Okay. Great. I appreciate all the color. Thanks, guys.
Michael L. Battles: Thank you.
Operator: Our next question comes from the line of James Joseph Schumm with TD Cowen. Please proceed with your question.
James Joseph Schumm: Mike, can we just talk about SKSS a little bit? You gave some breadcrumbs, but, like, where are you for leading-edge pricing? Are we, like, $0.50 a gallon, or are you above that? And then just where are you in terms of utilization of your refineries? Any thoughts to closing another refinery? Or, you know, do you feel good about where you are now? And then just any color on the, or update on the Castrol partnership.
Michael L. Battles: Sure. Sure, James. I will take care of all of the first of which is that we are north of $0.50 as we get into 2026 here. I think we have done a good job of driving price improvements in our UMO pricing, and I feel like the team has done an excellent job of really changing the marketplace, kind of where we were a year ago to kind of where we are now. It is really unbelievably good, and the team has done a nice job of really holding in line. And the good news is that we have not really seen, we have lost some gallons, we have not lost nearly as many gallons as we thought. And as such, we have not had the need to, as we sit here today, to close any more re-refineries. And I think we have been able to feed our network. And I said in my prepared remarks, we will continue to feed our refineries with the used motor oil we have been able to collect at really good pricing. You know, when I think about the future and our Castrol partnership, it has been successful. We have had some good wins there. It has not been as successful as we thought it would be. Probably needs more work there. But it is a long selling cycle. We understand that. The team at Castrol did a good job of driving that. We have been good partners with them. We have had a couple of good wins, but that has not been as big of a needle mover as we probably thought when we went into this.
James Joseph Schumm: Okay. Great. Thanks, Mike. And then just in terms of the pricing, it is kind of hard to get base oil pricing. Or, you know, could you help us understand where your average sales price was or is now? Is there anything, any help you can give there?
Michael L. Battles: Yeah. It is. It is hard, you know, we have a lot of different customers and a lot of different price points, but, you know, it has been down. I mean, just to cut to it, there have been a fair amount of base oil pricing declines kind of all through 2025. And I think it has been in the mid-teens range as far as the overall, you know, base oil pricing. But remember, we are managing a spread. And so that really forced us as an organization to drive that UMO pricing up, to manage that spread, to deliver the number that we told you back last February. We told you we are going to deliver the number for SKSS, and we are right there. So something we are really proud of. Right?
Eric W. Gerstenberg: And, James, just to build on that, just to build on Mike's comments a little bit further. You know, one of our key goals that we have mentioned multiple times is to really drive our direct blended sales growth, and that is the most stable pricing that we can do. And work with our customers to not only pick up their UMO, but deliver to them really high-quality direct blended oil into their network. And we are successfully beginning to grow that. It is not as fast as we would all like, but that is our true, really true north across our business, is growing that direct blended, getting stabilization on that back-end price while we continue to improve our UMO pricing. In the market today, it really has accepted that UMO is really a hazardous waste, and it needs to be collected, managed, and we do a nice job across our network of customer service and collecting the gallons when their tanks are full, and we will continue to drive those opportunities.
James Joseph Schumm: Great. Thank you for that. And just lastly for me, Veolia bought Clean Earth, as you are fully aware. Do you expect to lose a certain amount of volumes or EBITDA with that transaction? Is there any impact to 2026 that you guys are contemplating?
Michael L. Battles: Not at all, James. Yeah. They were obviously the successful acquirer of that, but we do not anticipate losing any volumes to what they have going on there. In fact, we, you know, we overall think there are opportunities to continue to grow our services with our customers and we are not concerned about that in the least.
James Joseph Schumm: Okay. Great. Thanks, guys. Appreciate it.
Operator: As a reminder, if you would like to ask a question, press 1 on your telephone keypad. Our next question comes from the line of Tobey O'Brien Sommer with Truist. Please proceed with your question.
Michael L. Battles: Thanks.
Tobey O'Brien Sommer: It has been so long since we have had sort of a good industrial economy. Maybe could you remind us what your growth in revenue and EBITDA would look like in a good industrial economy year and maybe contrast that with the guide? Thanks.
Michael L. Battles: Yeah, Tobey. I am happy to answer that. It is kind of tough to prove it. We have not had it in such a long time. It is tough to remember. But if you remember some years we were growing ES revenue double digits. There were years when industrial production grew and we were growing, you know, that ES business at really good rates. That kind of began the fifteen straight quarters that Eric mentioned earlier of EBITDA growth. So tough to see what good looks like. I am telling you right now, it is going to be good. But it does have to happen. And so if it does happen, I think it will. In 2026, we start seeing that, certainly in our pipeline. I am hopeful that we have kind of four good quarters of beat and raise and come back to you, say how great it was because of great industrial production.
Tobey O'Brien Sommer: Right. And what parts of the business, of the portfolio, do you think would see it first so that, you know, as we work our way through the reported quarters this year, if we start to see improvements in what areas would that lead to greater confidence in the industrial recovery? Thanks.
Michael L. Battles: I mean, we see it in Environmental Services. I mean, it is hard to say which. I think you see it in all four parts of the lines of business that would make up Environmental Services, whether it be TS, FS, IS, or SK Brands; you would see all four of those with an increased industrial production. You feel like they would all be the beneficiary of that, maybe TS more so, TS and IS more so. But I see all four of those lines of business which make up the Environmental Services segment improving. Of course, base oil pricing improves, as we talked about earlier, I think we see some real good EBITDA growth in the SKSS business. Last one for me.
Tobey O'Brien Sommer: If you dream the dream for PFAS, what is the best catalyst that you could think of in terms of the regulator, perhaps the DOD? What kind of event could transpire that would really catalyze growth there?
Eric W. Gerstenberg: Yeah, Tobey. Yeah. I really say, and we point to regulatory framework around thresholds of PFAS contamination, clearly articulating it for industrial waters, soils, solids, and driving remediation of those with those thresholds. And getting there. The market is disciplined. However, you know, we really would like those in place. They would be the greatest catalyst to really put it on steroids, so to speak.
Michael L. Battles: Thank you very much. Thank you.
Operator: We have no further questions at this time. Mr. Gerstenberg, I would like to turn the floor back over to you for closing comments.
Eric W. Gerstenberg: Thanks, Christine, and appreciate everyone joining us today. Our next investor event will be at the Raymond James Conference in Orlando in a few weeks. We hope to see some of you there and at other events. Have a great rest of your week, and please keep it safe out there.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.